Sam Swanell: Good morning. Thank you for joining this call to present the PointsBet Holdings Limited Full Year FY '24 results. This is Sam Swanell, Group CEO, and I'm joined today by our Group CFO, Alister Lui. Today, we will talk to our investor presentation, which was lodged with the ASX this morning, together with our full year financial report. Before we begin, please note the safe harbor statement in the presentation and that all figures are in Australian dollars unless otherwise stated. Turning to Slide 4. The key event during the year was the completion of the sale of the U.S. business to Fanatics Betting and Gaming for a headline purchase price of USD 225 million. Despite the strategic success of building a valuable asset in the U.S., the cost of operating in a state-by-state environment, together with the requirement to build significant scale to compete against well-capitalized operators meant that a sale delivered the most attractive risk-adjusted value outcome for shareholders. The completion of the sale of the U.S. business involved a complex technical and operational migration, separation and reorganization of the business over a 10-month period. The ability to continue to deliver outstanding results while restructuring the business for future growth and success is a true testament to all of our staff. The net sale proceeds of the U.S. business, together with the majority of the company's surplus corporate cash reserves, was distributed to shareholders during the reporting period. The Board is pleased to have returned a total of $442.4 million, representing $1.39 per share to shareholders across the first and second capital returns. As previously announced, the company applied for and received a class ruling from the ATO, confirming that for Australian tax residents, no part of the first or second capital returns will be accessible as a dividend. Further details of the class ruling can be found on the Investors section of the company's website. Turning to Slide 5. As set out on this slide, the company had an outstanding year and has achieved and, in a number of measures, exceeded our guidance provided for the 12 months to 30 June 2024. These include: Total net win of $267.1 million being 16% higher than FY '23. Gross profit margin of 52.8%, an increase from 50.3% in FY '23. Total marketing expense of $71 million being 21% lower than in FY '23. Normalized operating expenses, excluding marketing expense, of $60.4 million, coming in at the lower end of the previous guidance of $60 million to $70 million. And a normalized EBITDA loss of $1.8 million, which is a $2.2 million improvement on the upper end of our previous guidance and represents a $47.2 million improvement from the loss of $49 million in FY '23. Further details of the group's FY '24 trading and financial metrics can be found on Slide 6. Turning to Slide 8 for a review of our Australian business performance. In Australia, we achieved a record year of revenue, being $211.5 million, up 10% compared to the PCP. Gross profit was also a record being $111.8 million, up 14% compared to the PCP. Gross profit growth of 14% outstripped net win growth of 10% as our client promotion efficiency and learning to lower-cost international sports product improved gross profit margin. Gross win margins of 11.8% are towards our expected level of circa 12%, even as our turnover mix shifts towards a 50-50 racing and sports split. Net win margin of 8.7% is right around our target range. An important improvement this year has been the increased efficiency of how we allocate promotions. Our total promotions expense reduced by $15.3 million or 16% versus the PCP. And our promotion spend as a percentage of gross win improved to 26% from 31.5% in the PCP. Marketing spend was also more efficient. Total marketing expenses were $45.2 million, down 26% on the PCP. Despite the lower spend, net win earned from FY '24 first-time bettors was up 17% on FY '23. Statutory segment EBITDA for the year was $26.8 million, a material improvement compared to the $0.1 million in the PCP and constituted record EBITDA performance for the Australian business. We have now delivered positive full year EBITDA in Australia for the past 5 financial years. Our 10% growth in revenue outpaces the market, and we have gained market share. Full year performance saw low single-digit increases in rating net win versus the PCP and strong double-digit growth in sports net win. Turning to Slide 9. We are proud of our significant funding contribution to Australian sports and racing and best-in-class consumer protection measures. Our total cost of taxation, including race fields and product fees paid to racing and sports bodies was $111 million or 47.6% of net win. Principal racing authorities are now acutely aware that increases in point of consumption taxes have led to material decreases in advertising and promotion support for racing codes and hence, lower actives and turnover. Some principal racing authorities have acknowledged the need to lower race field fees to offset the impact of higher point of consumption taxes and to lower the overall cost of selling racing bets. In addition to paying $0.48 in the dollar to government and racing and sports bodies, PointsBet makes a material investment in achieving best-in-class compliance with important consumer protection measures. In FY '24, PointsBet committed significant resources to deliver 0-day KYC, integration of the national self-exclusion register, and a ban on using credit cards to deposit. This package of initiatives and others mean the regulated online wagering sector in Australia is clearly operating to a very strong consumer protection standards. Turning to Slide 10. PointsBet again restates our support for significant advertising reform. We are unable to talk to the specifics of the federal government draft proposal. However, can comment on those matters specifically made public in the media. With our industry body, RWA, we are actively engaging with all stakeholders to try and ensure the final package of reform is fair and pragmatic as well as being holistic and robust. In particular, we highlight that a ban on advertising around live sports broadcast is only effective if matched with the ban on advertising inside the field of play. PointsBet has already moved to discontinue our rights to extend valuable field of play brand partnerships with the Manly Sea Eagles and Cronulla Sharks. A tolerance of 2 ads per hour on broadcast TV offers less protection for families and minors than a safeguard test for digital publishers that mandates age gating to 18-plus, only display ads to logged in users, has opt out capabilities, and volume and frequency capping. These tests need to be applied at the publisher level, not the platform level. In addition, our strong view remains that to truly reduce exposure of promotions to at-risk people, a ban on promotion advertising should be across all formats, including dedicated racing channels and platforms. The only exemption should be for one-on-one communications between wagering operators and existing clients. We will continue to be actively involved in the consultation process with all stakeholders with the intention to create a responsible and sustainable industry now and into the future. It is important that reputable, licensed Australian operators that pay significant taxes and fees can distinguish ourselves from unregulated offshore service providers via sensible advertising. There is a logical and sensible model to be adopted here that can clearly protect children and vulnerable people. Turning to Slide 12 and a review of our Canadian business performance. In Canada, we continued our improvement in EBITDA performance on the back of revenue increasing 87% on the PCP. Statutory segment EBITDA loss reduced to $19.7 million compared to a loss of $35.8 million in the PCP. Gross profit was up 141% versus the PCP, with improved gross profit margins from efficiency in cost of sales as the Canadian business continues to scale. Sportsbook net win was $15.2 million, up 124% versus the PCP. This growth was driven by both improved trading margin on a higher overall mix of multi bets and continued gains in customer generosity efficiency. Our multi, same-game multi, and live same game multi are powered by our in-house Odds Factory technology. And along with our live in-play betting capability, form the cornerstone of our Sportsbook product-led strategy in Canada. Sportsbook in-Play handle grew to 66% of total handle, up from 63% in the PCP, highlighting the strength of PointsBet's live betting product offering. The Ontario market continues to grow strongly, and we continue to outgrow the market and increase our market share as we will highlight later. Turning to Slide 13. You can see why we are particularly excited about the progress we will make in online casino in FY '25. In FY '24, we grew net win by 63% while, in parallel, we invested to strengthen our product and overall player experience, which has positioned us to accelerate our performance further in '25. We will be rolling out a deep roadmap of ongoing product improvements across game merchandising, UX navigation and performance. I'll now hand to Al Lui to review the FY '24 group financial performance.
Alister Lui: Thank you, Sam. Turning to Slide 15 for the normalized results. Please note, there is also a summary of our statutory group and segment results and a reconciliation of the normalized results to the statutory results on Slides 33 to 36. The group recorded revenue of $245.5 million, an increase of 17% versus the PCP and an EBITDA loss of $1.8 million, which is a $2.2 million improvement on the upper end of our previous guidance and representing a $47.2 million improvement from the loss of $49 million in FY '23. Gross profit margins of 52.8% were up on the PCP, driven by increased global efficiency, increasing sports contribution mix in Australia, and increasing contribution from Canada, which has more favorable unit economics than in Australia. Marketing expense in Australia was $45.2 million, down 26% on the PCP. And marketing expense in Canada was $25.8 million or CAD 22.8 million, down 12% on the PCP. Both jurisdictions benefited from improved marketing efficiency. Overall, product and technology expense decreased by 29% compared to the PCP, primarily due to reduction in cloud hosting costs as a result of the sale of the U.S. business. However, certain costs have now normalized to a higher run rate post final completion. FY '24 operating expenses of $60.4 million were down 6% on the PCP, driven by certain cost and productivity initiatives realized as part of the reorganization of the business post-U.S. business sale. Turning to Slide 16. At 30 June 2024, the company had $28.1 million in corporate cash and net assets of $19.3 million. The movement in net assets was primarily driven by the following key movements: investments held at fair value, being the receipt of the headline purchase price of the U.S. sale of USD 225 million less any agreed adjustments, other liabilities being the payment of U.S. business sale-related transaction and restructuring costs, and the previously announced USD 21 million funding commitment, which were accrued at 30 June 2023. The company is well capitalized to invest for further growth and executing ongoing operational and strategic plans. Turning to Slide 17. We have talked about our group consolidated cash flows in detail as part of our quarterly 4C reporting obligations in October 2023, January 2024, April 2024 and July 2024. Total cash receipts from customers was $267.1 million, which included $248.3 million from Sportsbook and $18.8 million from iGaming. Net operating inflows, excluding movement in player cash accounts, were $6.6 million, $225 million lower than the net operating outflows of $218.8 million in the PCP. Net investing inflows were $277.3 million, which includes the net proceeds received from the sale of the U.S. business. Net financing outflows were $442.6 million, which was driven by the capital return of $1.39 per share made post completion of the U.S. business sale. I will now hand over to Sam to provide commentary on outlook and FY '25 guidance.
Sam Swanell: Thank you, Al. I will now break down why we're so excited about our future in Australia and Canada. As can be seen on Slide 19, FY '24 saw us grow revenue by 17% year-on-year and is a continuation of our strong track record of revenue growth over the last 5 financial years. We expect our revenue growth in Australia to continue to exceed the market and clearly anticipate an increasing contribution from Canada as our operations scale there. As per Slide 20, our addressable TAM across online Sportsbook and iGaming is significant and is expected to continue to grow strongly. Ontario is already a fast-growing market with favorable economics. However, we expect it to be complemented by further provinces in the future. Alberta is expected to go live before NFL season 2025, followed by British Columbia in FY '27. As can be seen on this slide, Alberta and BC are estimated to add an additional $2 billion of net revenue TAM in FY '28. As we have previously said, the size of our addressable TAM means that we do not need to be a dominant market share player in either Australia or Canada to be highly profitable and to deliver outstanding shareholder returns over the medium term. Turning to Slide 21. When we entered the newly regulated Ontario market, we were a brand-new entrant with 0 market share from the existing gray market and no brand recognition. However, we've shown that we can compete off the back of our world-class Odds Factory-driven sports betting capabilities. We will continue to outgrow the broader market and are firmly on the path to profitability in Canada. We've built a strong local team and presence in Ontario, which we will continue to leverage. Market share and profitability in Ontario will translate to further revenues and profits as the TAM expands with the opening of the new provinces from 2025 onwards. As a sports-first operator, we expect that our sports market share will lead our casino market share but we will drive share gains in both verticals and in parallel with the growing TAM, this will drive ongoing strong year-on-year revenue growth and profitability in Canada of our stable cost base. Turning to Slide 22. In Australia, our ongoing strong revenue growth is being driven by a loyal client base. As our product and execution continues to improve, we will continue to grow off an already impressive revenue retention capability. As can be seen on the right-hand side of this slide, clients that we acquired in FY '18 continue to deliver more annual net win as a cohort than they did in their earlier years. While cash actives declined somewhat, net win per active increases as we gain more share of wallet from genuine clients who have increasing product loyalty. As can be seen on Slide 23, Canada is following a similar path, which provides high confidence in our trajectory after our first 2 years of operation. Turning to Slide 24. Our investment in data science, product, and CRM is paying off and contributing to the revenue retention just referenced. Bet allocation of generosity, combined with an ever-improving product is earning us more share of wallet from our clients that have multiple apps. Excluding clients that were only bidding with us to take advantage of promotions, that is nongenuine clients, our active clients have grown by circa 10% in Australia in FY '24. This matches our net win growth for the year. As mentioned earlier, marketing expense and client promotions were significantly down year-on-year. However, in addition to growing net win by 10% overall, we also achieved a 17% increase in net win from first-time bettors. Turning to Slide 25. Odds Factory is a key driver of our strategy to lean into sport and of our market share growth in both Australia and Canada. We purchased Banach Technology in 2021 and have been investing in Odds Factory ever since. We have a top tier by global standards sports product in particular, around live betting and same game multis. When we were operating in the U.S.A., our Sportsbook app was ranked in the top 3 by Eilers and Krejcik for 2-plus years before we exited the market. That capability is now being focused on Canada and Australia. The value of our Odds Factory capability has been proven by recent transactions such as Entain's purchase of Angstrom for up to $400 million. We believe Odds Factory is superior to such comps and continue to invest in it to expand our capability. We were thrilled to attract Dan Lucas as our incoming CTO, starting shortly on September 2. Dan is formerly Head of Trading Technology at Flutter and will bring his considerable expertise to this critically important area. Turning to Slide 26. As noted earlier, the completion of the sale of the U.S. business involved a complex technical and operational migration, separation, and reorganization of the business over a 10-month period. This excellent work has meant that the PointsBet maintain significant operating leverage through our fit-for-purpose global 24/7 operating model. Combined Australian and Canadian trading and service capabilities allows us to execute and follow the sun model. The Australian-based team covers 8:00 a.m. to 11:00 p.m. Australian time, and then Canada takes over from 11:00 p.m. to 8:00 a.m. providing seamless coverage. For example, our Australian client service team are trained to handle casino queries from Canadian clients. And our Canadian client service team are trained to handle racing queries from Australian clients. Our follow-the-sun trading and service model is complemented by 24/7 tech support that also includes our Indian team. All of our technology is certified to the highest standards for operating in highly regulated markets. We've obviously recently operated in 16 highly regulated jurisdictions when we have the U.S.A., and we can seamlessly expand our 24/7 model to include further provinces in Canada. Turning to Slide 27. We are now at an important inflection point for the company. We continue to invest for growth via our investment in marketing, technology, and product. Our investment levels are set at the level for the company we will grow into in the coming years. When we talk about transitioning to EBITDA profitability, we do so with the investment in these key growth drivers already built into our P&L. However, that investment is largely stable now. And as we grow revenue, we will now benefit from significant operating leverage. Turning to Slide 28. We have taken EBITDA from a loss of $49 million in FY '23 to $1.8 million in FY '24. As we grow revenue and keep our cost base largely stable, EBITDA margins of 20% will be delivered. This will translate to EBIT margins of 15% as depreciation and amortization normalizes. We will now talk to guidance on Slide 30. We expect revenue to continue our long track record of strong growth and to be between $280 million and $290 million, which represents growth of between circa 14% and 18% compared to FY '24. Both our Australian and Canadian businesses will continue to outperform the broader market and grow market share. We expect normalized positive EBITDA of between $11 million and $16 million compared to the loss of $1.8 million in FY '24. We will continue to invest in the areas that are driving our growth. But as just mentioned, we are now at an important point where our operating leverage kicks in. Importantly, we currently expect to be cash flow breakeven in FY '25. Finally, turning to Slide 31. PointsBet is in a very strong position to deliver ongoing significant shareholder value over the coming years. We have now reached an important inflection point whereby our cost base is largely stable and the revenue growth that we generate will flow efficiently to the EBITDA line and expand our EBITDA margins. We lost $49 million in FY '23 and reduce this dramatically to deliver EBITDA loss of $1.8 million in FY '24. We are providing guidance today for FY '25 of between $11 million and $16 million. And we've provided data points around how and why we will continue to strongly grow revenue. As I've said before, sports betting and iGaming remains a fast-growing global market in companies like PointsBet, with a globally powerful product, proprietary technology, and international regulated markets experience are valuable within this industry. We have a clear vision to leverage what we have built to deliver shareholder value now and into the future. Our trajectory is clear to see. We'll now take questions.
Operator: [Operator Instructions] Your first question comes from Rohan Sundram from MST Financial.
Rohan Sundram: Just a question on Canada. Maybe can you just talk us through how you envisage that pathway to profitability and what you envisage would be the key drivers to that, please?
Sam Swanell: We clearly believe there's enough evidence now to say that we're well and truly on track. You look at that revenue retention ability that we've demonstrated in Australia, and you can see that Canada is profiling along the same line. So it's just a matter of getting another year of acquisition under our belts and building a bit of scale. So we're going to get there. How quickly we get there, we'll see. At some point this year we'll definitely be run rating profitability, we believe. It's just a matter of how quickly we get there. I think we've called out the fact that from a sports betting perspective, I think our DNA and our Odds Factory capability, we have very -- I think everyone should be very confident in our ability to keep growing our share, and so we get at least 5% share there. So I think the biggest swing factor in terms of how quickly we get to that profitability is the progress that we make around iGaming. We cross-sell obviously a large portion of our clients from sports betting to iGaming. So as we grow sports betting, we naturally get growth in iGaming. But our ability to make the most of that by getting our products as strong as we can will be a good indicator of how quickly we progress.
Rohan Sundram: And just a quick one for Alister. The breakeven cash flow expectation in '25. Should I assume is that free cash flow ex any major items? Or is that operating cash flow?
Alister Lui: No, that's net cash flow.
Operator: Your next question comes from Simon Thackray from Jefferies.
Simon Thackray: I just want to unpack your sensitivities in Canada between OSB and iGaming, and in particular, your relationship with Strive Gaming. You mentioned you're investing in the product and player experience. How do we think about the timing of the road map given the power of the iGaming sensitivities that you called out in terms of market share? So you've obviously grown OSB strongly in '24, but the iGaming has remained flat for reasons you've explained. Can you just unpack that for us in '24 and the expectations for the share of TAM in '25 and then maybe beyond that?
Sam Swanell: Simon, I think our iGaming share remained flat, but obviously, the market grew. So as we said, I think we grew 63% or 68%, the number was around iGaming. So that will continue to grow. And as I just referenced to Rohan, a big part of that is growing our sports share. Sport is where you can attract the mass market, I suppose, of clients on the back of the popularity of sport. But we do recognize that there is a role to be played in making the most of that cross-sell. And we think there's also a role to played in being able to attract and retain casino-only players. We do have players currently that come to us to play casino only and don't play sports betting. Our most valuable players obviously pay both, but we do have a cohort there. So the opportunity is to improve the experience for the cross-sell or players that play both, but also to do better with those casino-first clients and be able to acquire more of them and improve, let's call it, those retention dynamics. So the road map will be -- the product will get stronger as the year goes on. So we've already obviously made the move to Strive, and we've been through, let's call it, the transition. So the hardest part is done. Any sort of interruption is done, and it will just be a matter of now rolling out games, rolling out more UX improvements, rolling out more bonus features. So there's some pretty significant ones there. Like, for example, we have a good handle on what -- some of the most popular games are in Ontario, which games attract the most handle. We don't have some of those games. So just by adding those games in the first quarter as an example, you're increasing your popularity to some players because there are some players that just like games XYZ. So there's some pretty low-hanging fruit that we're pretty confident that we can tick off. But it will be gradual through the financial year.
Simon Thackray: Got it. But by the sounds of it, seeing you started in the first quarter somewhat linear. Is that the way to think about it just from a -- and also, as an add-on to that question, we would expect if you put the same chart out next year that the market share of the TAM would be up. Is that your expectation?
Sam Swanell: Yes. We definitely want to see -- I mean, you can see how valuable even 1% market share of the casino market is especially once the market gets to more maturity. But if we can make that 2%, then that obviously can be huge for us. Yes.
Simon Thackray: No, I see that. And maybe that bleeds into the second question, which is really around the EBITDA guidance of 11% to 16% for the group and net cash breakeven, which Alister has talked to already. I just want to understand a little bit about the contribution and the guidance by region. And in terms of the SKU sort of first half, second half, the way we should be thinking about it because that will obviously have a relationship to the cash generation as well.
Sam Swanell: The SKU will be pretty similar. I mean, obviously, you can see what we did from half year to full year. That seasonality in the business is always going to be there, even as Canada has an increasing contribution. It does have a similar SKU of you're investing around now because in Australia, there's Footy finals and Spring Carnival. And in Canada, you have the start of the NFL season and getting back into basketball, NBA, et cetera. So you'll still have sort of more investment in the first half and more profitability in the second half. What was the first part of the question?
Simon Thackray: Regional SKU.
Sam Swanell: Yes. We've deliberately not been specific there. Obviously, we do have levers that we can pull in terms of marketing dollars in Australia versus marketing dollars in Canada. And we sort of want to keep those sorts of levers up our sleeve depending on how opportunities present. But clearly, Canada is going to continue to outgrow Australia because Australia is coming off such a strong base. And that's Ontario only. And then part of why Canada is so important is that it's going to be a high-growth market for a long time because Ontario, we've seen in states like New Jersey and Pennsylvania and Michigan that since America opened up, those states can just keep pounding out some pretty high growth numbers. So Ontario itself has got plenty of headroom. But then when you overlay that with Alberta and British Columbia, we look at a medium-term outcome where really the contribution of the TAM from Canada and Australia, we think it's going to be pretty equal soon enough.
Simon Thackray: Yes, that's clear. And just -- if I can just sort of go back to a comment you made to Rohan. I think you said you'd like an exit -- a positive EBITDA exit run rate for Canada at some stage in '25, by the end of '25. Is that what you're acquiring to or that's what you think you can do?
Sam Swanell: I think that's what we can do. It's just a matter of are we run rating in June, are we run rating earlier than that. So -- but I think the progress is -- the evidence is there, yes.
Simon Thackray: That's super helpful. And one really quick one. Just the rationale of moving away from on-field sponsorship in the NRL given your cohort stats on Page 22 of the slide deck. Is there any evidence of data around how that sponsorship may have impacted client numbers given you made a comment that you -- 3Q '24, you saw a return of growth to active cash clients.
Sam Swanell: Yes. No, we don't. I mean, as an overall statement, we think those sponsorships have definitely been valuable. And -- but if you think about those sorts of sponsorships, I think they're more brand building versus more direct response channels. And as it relates to potential advertising reform, the reality is, is that we want to advertise to potential clients. We want to advertise to adults, predominantly males because they're the one that have proven that they like to have a bet. We don't want to be spending marketing dollars inefficiently on mass market channels, and that includes, let's call it, general programming on free to air type stuff, and that would include a big part of the audiences at stadiums and Oval. So we've said for, I think, 3 or 4 quarters now that we were already moving our marketing spend to be more targeted, more digital, where we know we can access those cohorts, and that's why we're advocating for any channel that can age gate itself, any channel that can allow the use to opt out of wagering marketing, et cetera, that should be a channel that wagering operators can utilize. And so we're already -- this is obviously the final year for the Seals and Sharks and they've been great partners, but that's entirely consistent with the direction that we wanted to move in.
Operator: Your next question comes from Phil Chippindale from Ord Minnett.
Phil Chippindale: First question, just on marketing expense expectations for FY '25. If I sort of back solve your $11 million to $16 million of EBITDA guidance and trying to get sort of the cost breakdown, it looks like marketing expenses will be broadly flat year-on-year. Is that a fair assessment? And then just further, could you just talk about the relative sort of sizing in terms of Australia versus Canada given the Canadian market is obviously growing a lot faster?
Sam Swanell: Your comment on marketing is correct, Phil. We're largely flat. Again, we want to leave flexibility up our sleeve as it relates to Canada versus Australia and levers that we can potentially pull. I think one thing I would highlight is that as it relates to some of the, I suppose, extra slides that we provided today around how we see long-term margins, we want to be -- we're stressing pretty hard here that we're already investing in amount as it relates to marketing, as it relates to technology and product that is a growth amount. We invest above our market share at the moment, and that's what will allow us to keep growing our market share in both Canada and Australia. And that's baked into our P&L. That's in there. And as we transition to profitability, that growth amount is in there, and we will keep spending that. So as we talk about margins down the track, it's certainly not on the back of reducing investment. That's not going to happen. And in fact, we will increase marketing to some degree, and we will increase technology to some degree. But as a percentage of revenue, we're now at that point where revenue will far outpace and we'll get that leverage. As it relates to Australia and Canada, look, all we'll say there is Canada is clearly going to keep outgrowing Australia in absolute terms. Australia is a more settled market. It's more established, making a leap from 5% to, say, 7% market share, obviously, is a bigger chunk right at the moment, given the size of the market than us doing that in Canada. But we believe that Canada is a really important market, given it's more early stage, it's going to have an increasing TAM. The unit economics are favorable. And importantly, a big part of the assets we have inside the company is our Odds Factory capability. As I said, in America, we had a top 3 ranked product for pretty much 3-plus years before we exited the market. And a big part of the North American market is live betting. So we want to put our live betting capability, that full suite of product to good use in Canada and drive our growth in that market. So we think Canada is a really attractive market. We've said it before that Ontario is the most -- we think the most attractive North American jurisdiction. So look, in absolute terms, Canada will grow more strongly. But again, we're well and truly on the path to profitability in Canada. That's the first -- that's -- we definitely want to get there to prove that point to the market to say that it is very, very different. And then as I said on the script, if we're profitable in Ontario, then that really does translate quite straightforwardly to being profitable in Alberta and profitably in other provinces such as British Columbia. It's not like America where the states were very different, the regimes were very different. There was a new set of costs every time you set up in a state of America. The expectation is very different than, yes, Canada is a province by province. But in terms of technology, marketing brand, we're already spending that bleeds into those jurisdictions. So when we launch into those jurisdictions, it's not a short-term hit to profitability that you then have to work back from. Yes, there'll be some performance marketing when you first go live, but that pays itself back pretty quickly, and you continue on your way in Canada.
Phil Chippindale: Last question for me. Just on Slide 31, you've got an illustrative chart there just showing EBITDA for FY '26 in a range, just to say we've been growing our magnifying glass and a ruler. Is that look like at the bottom end of that range around $25 million. Is that right?
Sam Swanell: Look, obviously, we've done that reasonably deliberately. We're not coming out and saying what guidance is for '26 or down the track. But it's meant to illustrate that the proof points are pretty much there as to where the trajectory is going. And I think it doesn't take much to work it out. But look, we are -- this is only our second ever year of providing guidance. And I think it's prudent of us. We're prudent with our guidance in last year, FY '24. And we'll be suitably prudent with our guidance this year, but we think we're on a very strong trajectory.
Operator: Your next question comes from Rohan Gallagher from Jarden Group.
Rohan Gallagher: Sam, in your -- thank you for providing FY '25 guidance. Most helpful. What are you assuming in terms of current market conditions, noting in your prepared remarks, your split is moving more towards 50-50 between racing and sports, please?
Sam Swanell: So we think there's enough evidence now to show you that the market is returning to growth in Australia. Probably only going to be circa inflation type growth. But you can see there in our TAM slides that we expect it to get back to grow. So that's what we're -- that's the baseline that we're basing things off. Yes, as it relates to racing and sport, yes, we thought we would -- we continuously get asked about our split between racing and sport. And we clearly again, because of our capability from a technology perspective where we've positioned our brand. We do lead into sport more, but racing remains vitally important in Australia. So we did make a comment that our turnover -- now turnover is different from revenue, and it's different from gross profit, but our turnover is heading more to 50-50. I suppose our expectations there. We are -- as I said in the remarks, there is good engagement from principal rating authorities about their product remodels and about stimulating racing going forward. All of the principal racing authorities, obviously, racing has been a challenge for bookmakers. We've grown single digits whereas a sport where we've grown strong double digits. But I think most other operators were probably negative on racing growth. So the racing industry doesn't like that, that could have impacts on prize money and the like. So there -- to simulate racing turnover and racing revenue growth. And that's good. After we've had years of the product fee regime coming in and then obviously being complemented by the point of consumption tax regime coming in and some of those point of consumption taxes going up, I mean, I think it's valuable now that there's probably a recognition that latter curve type analysis that we're at that point. And so perhaps it's time to be looking at an innovation rather than just bluntly putting up any fees and taxes. So we're encouraged by those conversations and that is encouraging in terms of the prospects of racing returning to strong growth at a market level.
Rohan Gallagher: Obviously, you can speak so much given the current status. But how does the advertising reform impact your guidance for FY '25 and your longer-term assumptions in terms of the ability to attract and retain customers?
Sam Swanell: So I think the -- I think where we sit today, any outcome of the government recommendations is not going to impact FY '25. So it's really about '26 onwards. As I sort of commented before, as we have spoken to and provided some data points around longer-term margins, our assumption is we continue to spend as we are now, or growing amount from where we are now on the basis that we will be a growing business in Australia and Canada. So we're not -- those margins are not factoring in implications from any recommendations. I mean, I think in broad terms, if our ability to execute marketing was restricted in some way by the recommendations outcome, well, then your margins would logically improve. You'd spend less on marketing. And in the short term, you would have improved margins and then the debate would become available, what does it mean for growth rates for the market and growth rates for companies like PointsBet. I mean, I think we believe that our brand is big enough. Our technology is obviously very strong. And if advertise -- if it comes less about advertising, we don't believe it should be because there's a logical solution there, and we don't think that will eventuate. But if it becomes, let's call it that advertising is, we can't spend what we plan to spend for whatever reason. We're in good shape because our product is elite, and we've got an established brand. But going back to the original questions, our margins that we've spoken to today and put in our slides don't involve being restricted in terms of executing our marketing plan. It just means that we're doing them by the channels that we recommend they can be done via safely, yes.
Rohan Gallagher: So to clarify, your advertising and marketing spend is broadly the same this year for your FY '25 guidance and acknowledging it will grow but not to the extent of revenue growth going forward as you invest to grow across both regions. Is that fair?
Sam Swanell: Exactly, yes.
Operator: Your next question comes from Chris Savage from Bell Potter.
Chris Savage: My questions have kind of already been asked, but I just want to come back, Sam, to the comments you're making around Canada and going into Alberta and British Columbia because the odd model was -- obviously take 3 years to get to EBITDA positive as you went state-to-state through North America. So are you suggesting that will you be EBITDA breakeven year 1? Or would it still be a year of losses? Like how long does it take to get to sort of EBITDA profitability?
Sam Swanell: What I would go, Chris, what I would say is a new province opens up there would be marginal, incremental technology cost, maybe marginal incremental OpEx from Canada, very marginal. The main incremental expense would be, you would then start performance marketing into the new province. So if you think about CAD 22-odd million marketing spend, there's some brand spend in that. And then there's performance marketing. And the brand spend, as much as we try to target it towards Ontario, there are assets there that bleed into all of Canada. And we would largely continue that knowing that we're now being able to monetize that brand spend in new provinces. But your performance marketing, you would then need to increase. So if that is a 15% increase in, let's call it, roughly population size or TAM increase day 1, then it will be roughly a 15% increase in performance marketing. So you might be talking a couple of million bucks or something. But the whole thing about performance marketing is it's the part that pays itself back quickest whereas the brand stuff is more long-term investment. So yes, I'm not going to say split out Alberta on its own, but we won't be -- we probably won't be splitting out Alberta because unlike America, like I said, it will largely be leveraging what is existing there. Whereas the U.S. came with a brand-new set of costs. The expectation from Alberta from what's been discussed publicly, there's been a lot of praise from Alberta officials as to the Ontario model and as to the Ontario regulatory regime. And from all available publicly made comments, it would seem that Alberta is very keen to replicate what has occurred in Ontario. So we've got an office there, in Toronto, it's built where our cost base is established. Our marketing base, as I said, there might be incremental couple of headcount -- incremental, a little bit of uptake cost, and then performance marketing. But the payback -- and just being able to monetize the brand's recognition that we've already built from having those brand assets out of Ontario. It's not going to be material in pushing us back, but I'm not going to say that Alberta stand-alone is going to be profitable in 1 year or something like that.
Chris Savage: And does the timing of your entry into those 2 provinces determined more by when you can absorb those upfront costs or more when the province is open to online?
Sam Swanell: When they open. So if you think what we've said, we finished the year with $28-plus million cash in the bank, and we said that -- we expect to be breakeven this financial year. We think Alberta will look to go live and capitalize on the NFL season, so go live let's call it, August 25. By that stage, we're in positive cash flow sort of, yes. We've gone from losing cash this year to neutral next year. So '26 will be a positive cash flow year. So yes, we don't see ourselves being restricted from being able to spend that little bit of performance marketing that would be required to go live in Alberta. British Columbia is a little bit less defined and less spoken about it. So that's why we're saying FY '27 broadly. That gives us a bigger room to move. Is it before NFL season '26, or is that late in financial year '27 for us.
Chris Savage: But you do expect to be there for the opening of both provinces.
Sam Swanell: Absolutely. Yes.
Chris Savage: And just around the guidance. I know it included absorbing the Victorian point of consumption tax. What -- and I know you're referring to it before as a rather blunt instrument. But do you have any -- like do you think we're done in terms of increasing or implementing those taxes? Or do you think there's risk of further to come?
Sam Swanell: I've said before, and we stand by our statements that we believe we're done. A couple of points. Victoria, had a review process. Victoria was going to 15%. They went to 15% on the 1st of July. But because -- for whatever reason, Victoria had another review process where they engaged with Racing Victoria. And I suppose the logic being that all states could all do with any extra tax revenue they can get, but they engage with Racing Victoria, and they analyze the data very closely. And they settled on the fact with Racing Victoria, but the best way for the state to maximize taxation receipts through point of consumption tax and for Racing Victoria to be given a chance to continue to grow that product in the industry, was to keep point of consumption tax at 15%. So New South Wales have come out and announced that they're doing a review around point of consumption. But our expectation would be that the analysis was that Victoria now would be very similar for what New South Wales would do. And they would see that the best way to maximize tax receipts into the medium and long term is to 6% to 15% and to help New South Wales racing get back into growth. Now there's a whole other dynamic here at play as it relates to Tabcorp and their long-term agreement in New South Wales. And maybe they can come to some settlement, et cetera. But I don't think that has to result in an increasing point of consumption taxes. They don't have to be unlinked together. And I think there's enough data points that gives us confidence that we're done.
Chris Savage: When do you think we get visibility on New South Wales?
Sam Swanell: I think by the end of the year, they wanted to...
Chris Savage: End of calendar year?
Sam Swanell: Yes.